Operator: Good morning and welcome to the AutoZone Conference Call. Your lines have been placed on listen-only until the question and answer session of the conference. Please be advised today's call is being recorded. If you have any objections, please disconnect at this time. This conference call will discuss AutoZone's fourth quarter financial results. Bill Rhodes, the Company's Chairman, President and CEO will be making a short presentation on the highlights of the quarter. The conference call will end promptly at 10:00 am Central time, 11:00 am Eastern time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements. Certain statements contained in this presentation are forward-looking statements. Forward-looking statements typically use words such as “believe,” “anticipate,” “should,” “intend,” “plan,” “will,” “expect,” “estimate,” “project,” “positioned,” “strategy” and similar expressions. These are based on assumptions and assessments made by our management in light of experience and perception of historical trends, current conditions, expected future developments and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties, including without limitation: credit market conditions; the impact of recessionary conditions; competition; product demand; the ability to hire and retain qualified employees; consumer debt levels; inflation; weather; raw material costs of our suppliers; energy prices; war and the prospect of war, including terrorist activity; availability of consumer transportation; construction delays; access to available and feasible financing; and changes in laws or regulations. Certain of these risks are discussed in more detail in the “Risk Factors” section contained in Item 1A under Part 1 of our Annual Report on Form 10-K for the year ended August 31, 2013, and these Risk Factors should be read carefully Mr. Rhodes, you may now begin.
Bill Rhodes: Good morning and thank you for joining us today for AutoZone’s 2014 Fourth Quarter conference call. With me today are Bill Giles, Executive Vice President and Chief Financial Officer, IT and ALLDATA, and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax. Regarding the fourth quarter, I hope you’ve had an opportunity to read our press release and learn about the quarter’s results. If not, the press release along with slides complementing our comments today are available on our website, www.autozoneinc.com. Please click on Quarterly Earnings Conference Calls to see them. To begin this morning, I want to thank all AutoZoners' across the globe for another solid quarter and year. 2014 was a very busy and productive year for us. We’ve been growing our business on a variety of fronts. Our U.S. retail business expanded again in 2014 with the opening of another 148 new stores. Our commercial business continues to gain traction growing sales 12.8% on a 52-week basis with 424 net new programs opened. We now had a commercial program in 77% of our domestic stores, having opened 792 new programs in just the past two years alone, and we continued to expand our presence in Mexico. This quarter, we celebrated the opening of our 400th store in Mexico. We opened one additional store in Brazil and now have five stores in operation. We currently have approximately 8% of our total stores outside of U.S. and we believe we have growth opportunities in the United States and beyond for many years to come. We also expanded our online offerings in both our traditional autozone.com and autozonepro.com website as well as AutoAnything in fiscal 2014. ALLDATA introduced several new products and also continued its expansion in Europe this past year. Along with these strategic investments, we spent a lot of time on our core domestic retail business. Our DIY business remains the largest portion of our sales and continues to generate tremendous returns. We continue to see significant opportunities for new store growth and improved productivity in our existing stores. This continues to be our number one priority. As our commercial business continues to grow and it is intertwined with our retail business, we continued to identify opportunities to optimize our inventory placement and distribution strategy in order to respond to the ever increasing challenge of parts proliferation in our industry. We began testing a new methodology last year to improve our hard parts placement techniques in all stores. During this past fiscal year, we completed our testing and implemented this new approach. We’ve been able to add additional products while removing unproductive inventory at an accelerated rate compared to our previous methodology. This has resulted in an increase to our store level inventory. This increased movement of inventory has also resulted in higher distribution cost. We’ve been pleased with our results today, but continue to rely on the new process. As we’ve mentioned during our last quarterly call, we’ve been testing different delivery frequencies, primarily from our distribution centers. We’ve been encouraged by the preliminary results although we still have more work to do in order to determine the optimal go-forward strategy. Our tests have shown us that increased delivery frequency increases sales and improves inventory productivity by reducing safety stock. We now have implemented additional test to validate our initial findings and provide us with sufficient data to develop the optimal approach. While we are more aggressive with our inventory additions this past year we feel future investments will be more targeted and refined. We believe our growth and inventory for our store will continue but in a more modest pace than last year. As we carefully analyze all of our test, we expect to have more to discuss in each of the next several quarters. As we continue to manage this organization to provide exceptional service for our customers, to provide our AutoZoners with a great place to work with opportunities for advancements. We must ensure we do it on a profitable basis to provide strong returns for our shareholders. This process requires us to have a higher degree of confidence in our plans before executing on a broad basis. We’ll be holding our national sales meeting in Memphis next week. All week and again during my address to the team as the conclusion of the events, we are introducing the idea of “Why every customer every where”. We have always been focused on service, but this annual operating things adds intensity and renewed focus. We spent significant systems; we’ve made significant systems enhancements and investments this year in order to capture data by our customers shopping patterns across all of our platforms. We understand we have to be able to toggle between the store, the shop, the phone and online in order to meet our customer’s needs. We also emphasize our ongoing inventory availability test and what they will mean for availability in 2015. I’d like to take a moment to discuss our pending acquisition of Interamerican Motor Corporation doing business in the market place as IMC. They are the second largest distributor of OE quality import replacement parts in the United States. They specialize in parts coverage for European and Asian vehicles. While considerably smaller than the number one participant in the industry, IMC with 17 branches today offers an impressive growth opportunity for us. Not just because of the parts coverage, but also because of the strong management team. They are an exceptional team. We do not believe there is a significant overlap with our current commercial customer base and IMC. This new customer base is one of the reasons we are excited about this acquisition. This is a segment of the service repair population that demand OE quality. While we are comfortable with our ability to grow our current business with our existing model, IMC will be a nice compliment our commercial strategy. We expect to open a handful of IMC locations in the new fiscal year while also making the IMC parts catalog available to our domestic store base as soon as possible. We also believe we can help IMC improve its store level economics. I do want to stress we will be diligent with our growth strategies here and make sure our financial hurdles are reached as we grow. We look forward to welcoming the entire IMC team to the AutoZone family soon. Now let’s turn to our fourth quarter results. Our sales decreased 1.5% but on a comparable 16-week basis they were up 4.5%. Our domestic same store sales were up 2.1%. This quarter sales results can be summed up in one word, “inconsistent”. While May was quite strong and June was decent, July was not as strong. August improved but results were still quite inconsistent from one week to the next. We attribute much of this volatility to both unique weather and the belief that the low end consumer continues to struggle. We are happy to have run both positive retail and commercial comp sales for the quarter, but expected a stronger sales performance in Q4 than we delivered. Regionally the Northeast and Midwest performed better than the overall chain; however these two markets experienced similar volatility to the rest of the country in July and August. While our failure-related merchandised categories continued to perform well, our maintenance related categories were below our expectations. We attribute much of this category’s underperformance to an unseasonably mild weather in July and August. Secondly, in regards to traffic versus ticket in the DIY business, traffic was negative while ticket was up. The decline in traffic was primarily attributable to the slow down of our maintenance product sales. After growing lower than our historical moments over the last year, average ticket growth accelerated in Q4. Third, we opened 113 new commercial programs in the quarter versus 173 programs last year. For the year, we opened 424 net programs for the full year reaching 77% of our domestic store base. To put our growth in the commercial business in perspective, at the end of 2011 we reported $1.08 billion in total sales compared to $1.61 billion in 2014, up 50% in three years. Lastly, I always like to recognize how effective our team delivers consistent earnings in good sales environments and not so good and that practice has allowed us to deliver an impressive 32 consecutive quarters of double digit EPS growth. That consistently allows us to be both shareholder friendly with solid earnings growth and bond holder friendly through a targeted investment grade rating and strong cash flow. We continued to manage this business for both short term and long term optimum performance. As part of our strategy of increasing inventory levels in local markets closer to our customers, this past quarter we opened five additional hub locations. Overtime, we do expect to open more hub locations, but we believe our strategy on inventory deployment at the store level allows us to keep the number of openings at a moderate level. Regarding Mexico, we opened 28 stores this quarter and reached a milestone of surpassing the 400 store mark. Our sales in the other businesses for the quarter were down slightly year-over-year on a 16 versus 17 week basis; however, as a reminder ALLDATA and e-commerce which included AutoZone.com and AutoAnything make us this segment of sales. Regarding online sales opportunities, there continue to be great opportunities for growth on both the business to business and two individual consumers or B to C. While these businesses are small for us at just 3.6% of our total sales mix on the quarter, we expect these businesses to grow at a faster rate than our brick and mortar business for the foreseeable future. With the continued ageing of the car population, we continue to be optimistic regarding the trends of the industry in both the DIY and DIFM. While new car sales have been very strong these past two years, we have seen those traded in vehicles to be resold to new owners who are repairing or enhancing their new vehicles. With gas prices on average flat year-over-year for the fourth quarter, we see miles driven relatively flat as well. As prices at the pump have recently been declining, we expect this to benefit our customers especially those most financially strapped. The low end consumer benefits the most from lower gas prices relative to income, this trend is encouraging. I know of [familiar] pumps many investors had asked us about our expectations for 2015 relative to the more difficult comparisons our industry will have in the upcoming winter months. For us, our second and third quarter results are more difficult comparisons. However, we are optimistic we can grow on all our upcoming quarters, while certain markets outperformed during the winter, this past year others under performed. We believe we should improve in those regions. As our history has shown we managed this business focusing on both the long term and the short term, and we felt our sales would be challenged in the short term if we felt ourselves to be shown in the short term due to difficult comparisons we wouldn’t make material changes to our plan or operations. We will continue to balance short term and long term performance and will be keenly focused on delivering consistent strong performance and extending our streaks of 32 consecutive quarters of double digit EPS growth. Now let me review our highlights regarding execution of our operating themes 2014 creating customers for life. The key priorities for the year were : one, great people providing great service; two, profitably growing our commercial business; three, leveraging the internet; four, leveraging technology to improve the customer experience while optimizing efficiencies; and five, improving inventory availability. On the retail front this past quarter under the great people providing great service theme, we continued with our intense focus on improving execution. This past year we rolled out improvements to our electronic parts catalog. While this has rolled out to our chain earlier in the calendar year, we learned some things as the year went off. We made some modifications along the way. These changes were around how we displayed product on the screen and presented all the items necessary to do the job right. These upgrades and our other ongoing ones to the systems we believe have created the best selling tool in our industry. And our store AutoZoners agree we look forward to updating you on the results in upcoming conference calls. Behind the scenes, we have reset our expectations on technology investments and challenged ourselves to make sure our offerings are relevant across all shopping platforms. We realize as customers have become much more tech and mobile savvy we have to have a sales proposition that touches all the way as they desire to interact with us. Our current and future technology investments will lead to sales growth across all our businesses. In regards to commercial, we opened 113 programs during the quarter. For the year, we opened 424 versus 368 last year. Our expectation is we will continue to open new programs and grow our percentage of stores with commercial programs although our pace of growth will likely moderate. As we continue to improve our product assortment and availability and as we make other refinements to our offerings, we expect that the estimated sales potential from the market will grow. Our results continued to provide us confidence to be aggressive in adding additional resources and new programs to this important growth initiative, which also highlight another strong performance in return on invested capital as we were able to finish 2014 at 31.9%. We are very pleased with this metric as it is one of the best if not the best in all of hard lines retail. However, our primary focus has been and continues to be that we ensure every incremental dollar of capital that we deployed in this business provides an acceptable return well in excess of cost to capital. It is important to reinforce that we will always maintain our diligence regarding capital stewardship as the capital we invest is our investors’ capital. Before I pass the discussion over to Bill Giles to talk about our financial results, I’d like to thank and state how proud we are of our entire organizations efforts to manage this business appropriately and prudently. We have an amazing team and our initiatives for 2015 are exciting. With our ongoing supply chain initiatives as well as an incorporation and expansion of our acquisition of IMC, we are ready to continue to provide wide customer service to all our customers and we are ready to continue to prudently manage our cost structures to providing our shareholders with a consistent feat we have exhibited in the past. Now here’s Bill.
Bill Giles: Thanks Bill. Good morning everyone. To start this morning, let me take a few moments to talk more specifically about our retail, commercial and international results for the quarter. For the quarter, total auto parts sales, which includes our domestic retail and commercial businesses, our Mexico stores and our five stores in Brazil, increased 4.5% on 16 week per 16 week basis. Including last years extra week, our sales decreased 1.5%. Now regarding the macro trends during the quarter, nationally unleaded gas prices started out at $3.67 a gallon then ended the quarter at $3.46 a gallon a $0.21 decrease. Last year, gas prices decreased $0.07 per gallon during the fourth quarter, starting at $3.54 and ending at $3.61 a gallon. We continue to believe gas prices have a real impact on our customers’ abilities to maintain their vehicles and as cost reductions help all Americans, we hope to benefit from some increase and disposable income. We also recognize that the impact of miles driven on cars over 10 years old, the current average, is much different than on newer cars in terms of wear and tear. Miles driven increased in both May and June; July and August data is not available yet. The other statistic we highlight is the number of seven-year and older vehicles on the road, which continues to trend in our industry’s favor. For the trailing four quarters, total sales per auto parts store was $1,724,000. This statistic continues to set the pace for the rest of the industry. For the quarter, total commercial sales increased 5.3%. On a comparable basis, commercial sales increased 11.5%. For the fourth quarter commercial represented 18% of our total sales and grew $27 million over last years Q4. Last year’s commercial sales mix percent was 16%. This past quarter we opened a 113 new programs versus 173 programs opened in our fourth quarter of last fiscal year. We now have our commercial program in 3,845 stores supported by 166 hub stores. Approximately 1,200 of our programs are three years old or younger. Let me take a moment and discuss our commercial program performance. While our average sales per program is below some peers in our industry at $8500 it has grown more than 30% since 2009. It’s important to highlight that we accelerated our new program growth over the past few years as approximately 30% of our programs are younger than three years old. These openings have impacted our average sales metric and cannibalized some of our older programs. However our focus is on growing market share and improving our service levels by having more programs closer to our customers. Looking specifically at our matured programs, those at least five years old, they averaged $10,000 in weekly sales this past year and also experienced steady growth each of the last five years. This year’s growth versus last year slowed in these programs but were nicely positive. We still have significant opportunity to open additional programs over the next several years at the same time we will remain focused on improving the productivity of all our existing programs. But obviously -- we feel very good about the success we’ve had and profitably growing the commercial business. With our inventory additions and the support of the IMC acquisitions, we are well positioned to grow our base business. Over the last several years, a significant amount of our focus has been on opening new programs and that will continue to be the case albeit at a slightly moderated case. However, we are hiking our emphasis on increasing sales and our more mature store base in fiscal 2015. We have a very talented sales force and we are enhancing training and introducing additional technology to optimize the productivity of the sales force. We have increased our efforts around analyzing customer purchasing trends and inside trends. In summary, we remain committed to our long term growth strategy. We believe, we are well positioned to grow this business and capture increased market share. For the [trailing] at this point our assumption is -- I’m sorry. Let me just move onto for Mexico for a second. Our Mexico stores continue to perform well. We opened 28 new stores during the fourth quarter and 40 for the full year. We currently have 402 stores in Mexico. Exceeding 400 stores, that’s a terrific milestone and we congratulate all AutoZoners involved with Mexico on this achievement. We look forward to years of growth here. Our returns and profit growth continue to be in line with our expectations. Now regarding Brazil, we opened one store in the quarter and have five stores opened at the end of the year. Our plans remain to open a few more stores and then we find our offering improved our concept works for our customers and is financially viable. While sales growth has been very encouraging, we are operating currently at a loss. Business, that’s expected to having such a small store base and carrying distribution center and overhead they can handle far more stores. Once we refine our offerings and operations and evaluate the performance we will talk more on our long term growth plans. Recapping this past quarters performance for the company in total, our sales were 3 billion plus $50 million and increased to 4.5% on a comparable 16-week basis from last years fourth quarter. Domestic same store sales or sales for stores open more than one year were up 2.1% for the quarter. Gross margin for the quarter was 52.3% of sales, up 48 basis points. The improvement in gross margin was attributable to lower acquisition cost and lower shrink expense partially offset by higher supply chain costs associated with current year inventory initiatives. In regards to inflation, it has been basically non-existent year-over-year. This is different than in past years. At this point, our assumption is we’ll experience subdued producer pricing, pet events of the calendar year and therefore we feel costs will be predictable and manageable. We will remain cognizant of future developments regarding inflation and we’ll make the appropriate adjustments, should they arise. Looking forward, we continue to believe there remains opportunity for gross margin expansion within both the retail and commercial businesses; however, we do not manage to a targeted gross margin percentage. As the growth of our commercial business has been on a steady headwind on our overall gross margin rate for a few years, we have not specifically called out the headwind quarterly – it is part of our business model and we understand we have to manage that headwind as the business grows. Additionally, IMC will be a [side] track on gross margins as this business model operates at a lower gross margin rate. Our primary focus remains growing absolute gross profit dollars in our total Auto parts segment. SG&A for the quarter was 31.6% of sales, higher by 37 basis points from last year’s fourth quarter. The increase in operating expenses as a percentage of sales was primarily due to a combination of de-leverage from the 17th week of sales last year, higher incentive compensation and planned information system investments. IMC will also have a slight impact on SG&A dollars in the upcoming quarters while these expenses will cause slight de-leverage and we expect they will have lasting benefits to the overall organization. We continue to believe we are well positioned to manage our cost structure in response to our sales environment. EBIT for the quarter was $630 million, down 0.9% over last year’s fourth quarter. Our EBIT margin improved to 20.7%. Excluding the extra week, our EBIT margin was up 22 basis points and our EBIT dollars grew by 5.7%. Interest expense for the quarter was $49.4 million compared with $57.4million on a comparable basis in Q4 a year ago. Debt outstanding at the end of the quarter was $4,344,000,000 or approximately $160 million more than last year’s balance of $4,187 billion. Our adjusted debt level metric finished the quarter at 2.5 times EBITDAR. While in any given quarter we may increase or decrease our leverage metrics based on management’s opinion regarding debt and equity market conditions, and we remain committed to both our investment-grade rating and our capital allocation strategy, and share repurchases are an important element of that strategy. For the quarter, our tax rate was approximately 35.7%, up from last year’s fourth quarter. We expect our annual rate to be close to the 36.7% on an ongoing basis as the deviation result was primarily driven by the resolution of discrete tax items that arise. Net income for the quarter was $374 million excluding the extra week net income was up 7.4%. Our diluted share count of 33.1 million was down 7% from last year’s fourth quarter. The combination of these factors drove earnings per share for the quarter to $11.28, up 15.6% over the prior year’s fourth quarter on a comparable basis. Related to the cash flow statement for the fourth fiscal quarter, we generated $370 million of operating cash flow. Net fixed assets were up 8% versus last year. Capital expenditures for the quarter totaled $176 million and reflected the additional expenditures required to open 113 new stores this quarter. Capital expenditures on existing stores, hub store remodels, work on the development of new stores for upcoming quarters, and information technology investments. For all of fiscal 2014, our CapEx was approximately $440 million. With the new stores opened, we finished this past quarter with 4,984 stores in 49 states, the District of Columbia and Puerto Rico, 402 stores in Mexico, and five in Brazil for a total store count of 5,391. Depreciation totaled $79 million for the quarter versus last year’s fourth quarter expense of $71 million inline with recent growth quarters. With our excess cash flow, we repurchased $188 million of AutoZone stock in the fourth quarter. This is lower than last year’s buyback as the extra week last year and the EBITDA it generated provided additional leverage capacity. At year-end, we had $869 million remaining under our share buyback authorization and our leverage metric was 2.5 times. Again, I want to stress, we manage to appropriate credit ratings and not any one metric. The metric we report is meant as a guide only as each rating firm has its own criteria. We continue to view our share repurchase program as an attractive capital deployment strategy. Accounts payable as a percent of gross inventory finished the quarter at 115%. Next, I’d like to update you on our inventory levels in total and on a per-store basis. We reported an inventory balance of $3.1 billion, up 10% versus Q4 ending balance last year. Increased inventory reflects new store growth along with additional investments and coverage. Inventory per store was up 5.8% to $582,000 per store, reflecting our continued investments in hard parts coverage. This first store amount was down from Q3 to $594,000 per store. Finally as Bill previously mentioned, our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 31.9%. We have and will continue to make investments that we believe will generate returns that significantly exceed our cost of capital. Now I’ll turn it back to Bill Rhodes.
Bill Rhodes: Thank you, Bill. We are pleased to report our 32nd consecutive quarter of double-digit EPS growth and for the year to report an EPS growth rate of 16.3% on a comparable 52-week basis. Our company has continued to be successful over the long run. That success is attributable to our approach of leveraging our unique and powerful culture and focusing on the needs of our customers. To execute at a high level, we have to consistently adhere to living the pledge. We cannot and will not take our eye off the execution. While we study the external environment and react where appropriate, we must stay committed to executing day-in and day-out on our game plans. Success will be achieved with an intention to detail and exceptional execution. Before I conclude, I want to take this opportunity to reflect on fiscal 2014. We were able to build on past accomplishments and delivered some impressive results in recognition of the dedication, passion and commitment of our AutoZoners. I want to highlight that in 2014 we grew sales in all of our businesses. With this growth, we were able to achieve and comfortably surpass the $9 billion annual sales milestone for the first time on a 52-week basis. As previously mentioned, we opened our 400 stores in Mexico. We reached a definitive agreement to acquire IMC. We believe IMC is the right business at the right time for us. The management team at IMC is exceptional and we can’t wait to grow the business for many years to come. Our inventory availability testing and hub store remodels have been nothing short of incredible. We’ve learned a tremendous amount and believe our findings will lead us to more productive models. We are talking more than ever about innovation as the industry leader, it is imperative that we stay ahead; making sure every aspect of our offering has improved from inventory assortments to our commercial offerings to leveraging the power of information technology enhancements. We can leave no stone unturned. We invested more in information systems infrastructure this past year than in recent memory, an investment that will pay dividends for years to come. At the end of the day, our customers have choices and we must innovate to ensure they turn to us for their vehicle needs. Again, we are excited about our initiatives around inventory assortment, hub stores, commercial growth, Mexico, ALLDATA, ecommerce, Brazil and now IMC. Our long-term model is to grow new store square footage at a low single-digit growth rate and we expect to continue growing our commercial business at an accelerated rate. Therefore, we look to routinely grow EBIT dollars in the mid single-digit range or better in terms of strengths. And we leverage our very strong and predictable cash flows to repurchase shares, enhancing our earnings per share into double digits. We feel the track we are on will allow us to continue wining for the long run. We believe our steady, consistent strategy is correct. It is the attention to details and consistent execution that will matter. Our belief is solid, consistent strategy combined with superior execution is a formula for success. Our charge remains to optimize our key -- our performance regardless of market condition and continue to ensure we are investing in the key initiatives that will drive our long-term performance. In the end, delivering strong EPS growth in ROIC each and ever quarter is how measure ourselves. We are pleased with our results this past year, but we much remain committed to delivering on our strategic and financial objectives. I can’t wait to sit down and talk with our leadership team at our upcoming national sales meeting. This team is comprised of the best leaders in our industry. We are launching our – while every customer, everywhere [same] and I know our leaders combined with our talented team of more than 70,000 AutoZoners will do just that. Now we’d like to open up the call for questions.
Operator: (Operator Instructions) The first question is from Alan Rifkin with Barclays.
Alan Rifkin - Barclays Capital: Thank you very much and congratulations on another nice year.
Bill Rhodes: Thank you.
Alan Rifkin - Barclays Capital: First question for Bill Rhodes, I mean, as you look longer term we suspect to IMC. How should we think of that company long-term as a proportion of your revenues and how will you integrate this at all in a little bit more detail with both your store base, as well as Auto Anything? Thank you.
Bill Rhodes: Yes. Thank you, Alan. It’s a great question. First of all, I want to update everybody that as on last Friday we received HSR clearance. And so, we are working towards closing the deal and hopefully can do it in the next week or so. So, at this point in time our integration efforts as you would expect as we’re going to the regulatory approval process has been minimal. But we’ll start working that diligently as we go forward. With respect to our growth plans, they currently have 17 branches and there are considerable opportunities for growth. You can look at the other key player in the industry and they have over 100 branches. So we look to rollout additional branches. Three of their branches are new this year and are off to a great start. So we’re encouraged about the long term with them. Additionally, we think that they can be leverage particularly with our other stores AutoZone stores on both the retail and the commercial side. They have a product offering that we don’t have today. So, we are very excited about them joining the family and hopefully that’s going to happen in the next week or so.
Alan Rifkin - Barclays Capital: Okay. Thank you. And one follow up if may for either of the Bills. Is there any structural reason why your less mature commercial stores which are doing 8500 a week cannot get to the level where some of your more mature units are doing which is over 10,000 a week?
Bill Rhodes: Yeah. Let me clarify that. The 8500 was on average all of our stores, Alan. So, we got the more mature stores are averaging 10,000. The newer stores are even below the 8500 level. But we’ve been very pleased that we continue to grow at a very rapid pace opening almost 800 new programs in the last two years that those new programs are continuing to perform at or above where they start, where the older program started. So, we believe we have a long-term opportunity for them to be very productive. We also believe the stores that are doing over 10,000 are nowhere near where they need to be. We had continued growth opportunities with them.
Alan Rifkin - Barclays Capital: Okay. But just to clarify, Bill, so even though some of the units which you’ve added most recently, you still that collectively over the longer term that can achieve revenue levels and profitability levels of some of your more mature ones?
Bill Rhodes: Yes.
Bill Giles: Yes. That’s absolutely fair.
Alan Rifkin - Barclays Capital: Thank you very much.
Bill Rhodes: And hopefully beyond that, Alan.
Alan Rifkin - Barclays Capital: Yeah. Thank you.
Operator: Thank you. The next question is from John Lawrence with Stephens.
John Lawrence - Stephens: Good morning, guys.
Bill Rhodes: Good morning.
Bill Giles: Hi, John.
John Lawrence - Stephens: Yeah. Bill, would you comment to follow on Alan’s question just a little further. That gap of some of those clients or stores that where you don’t have that merchandise or that line card available. Can you just give us a sense of some of those stores and what you have available for those that you don’t have today and how big of any opportunity – how large of an opportunity is that?
Bill Rhodes: The IMC product offering is vastly different than ours. It is a branded offering that is OE quality, OE manufactures that we don’t necessarily have in our product offering today. There are certain customers think about the high-end BMW or Mercedes shops that want to use those products and use them pretty much exclusively. We don’t do business with many of those shops today. However, we do have a lot of shops that are doing that kind of work and then in certain cases want those kinds of products. This will now allow us in our commercial program to sell those cases to our existing – those products to our existing customers as well.
John Lawrence - Stephens: Great. Thanks. And just a follow-up for Bill Giles. On the G&A as far as technology investments and incentive comp should those stay about the same level going forward?
Bill Giles: Let’s say that obviously from a management team perspective, we hope the incentive comp continues to go up. But I would say that from an IT perspective, we will continue to expect to have some investments in IT over the next fiscal year or so. As Bill highlighted earlier, the several things that we’ve done from a store system structure perspective in order to enhance the information that we’ll provide in our AutoZoners which is ultimately providing to our customers. So we think there’s some real opportunity for that, as well as tying all of our customer information together, so we have a better visibility on the activities of our customers.
John Lawrence - Stephens: Thanks. Good luck and congrats.
Bill Rhodes: Thanks.
Operator: Thank you. The next question is from Dan Wewer with Raymond James.
Dan Wewer - Raymond James: Thanks. Bill, we’ve had five consecutive quarters that inventory per square foot is grown between call it 4.5% to 8.5%. I would have thought by now that these initiatives would have had enough time to get some traction and generate better sales productivity. It sounds like you’re continuing to refine the test particularly regarding distribution frequency. Just curious as to why you think that the payoff hasn’t materialized by now and what kind of timeframe would you advice investors to take with a payback?
Bill Giles: Yeah. It’s a good question, Dan and I think that’s you’re looking at the right way. I mean, we recognize the importance of hard parts coverage. And every time we add inventory we recognize that it benefits both the commercial side of business as well as the DIY side of the business. You know, and keep in mind to, we’re fortunate to be operating in an industry where there’s very low [ops] to lessen inventory and there’s very low financing cost at the moment. So, we think that this is a very good risk reward strategy that we’re taking and it’s an important one for us to continue to gain market share with our customers. And then other leg of the stool is really the delivery of frequency. So, we’ve added more inventory particularly at the store level. And then, we’re also testing our optimization of the frequency of delivery and the method of delivery to both our satellite stores as well as ultimately to our customers. And so, there’s more work to be done on there. I think that the test would show that we’ve gotten some good returns on the investments that we’ve made. They’ve been broad-based in some cases, but frankly not although across the chain. Many of the tests that we’re doing are very isolated. And in those cases we’re very encouraged with the results that we have. There’s more learning to be done. There’s more work to be done. But we think that adding inventory like I said before is a very good from a risk reward perspective. We don’t see a lot of exposure, but again, it’s not fast and its not technology based. So we think it’s a good way to continue to capture market share. And then, we got to continue to work with the delivery frequency to optimize our overall supply chain.
Dan Wewer - Raymond James: Just to clarify is there is bottleneck so we’ve added this -- we’ve added inventory either at a distribution center or at a hub, but there’s a bottleneck that’s preventing it from getting to the store and effectively sold to your commercial customer?
Bill Giles: I think one thing to think about and we’ve always talked about this is that 70% of the SKUs that we carry one on hand, and so there’s an incredible randomness on the lot of sales of service inventory. So your ability to predict and to stay in stock is what’s really become challenging. So I wouldn’t consider it a bottleneck per say. I think we got distribution center, we’ve got hub stores and we’ve got our individual stores. And it’s really where we have the inventory versus safety and then the frequency of delivery and those of the things that we’re working on right now.
Dan Wewer - Raymond James: And just a follow-up question. You noted that the year-over-year comparisons become a lot more difficult in your second quarter of fiscal year ’15, but at the same time we do have some weaker markets that could recover. I’m assuming you’re talking about the West Coast given the drought conditions out there or can you expect it will continue next year. What makes you confident that those lagging markets would recovery this coming year?
Bill Rhodes: Well, obviously we can’t predict the future. But we did have a lot of strength in the second quarter particularly in the Northeast and the Midwest. I would also say, it wasn’t just the geography issue. In the second quarter of last year we performed particularly well on the failure-related categories, but even at the time we spoke to the fact that the maintenance-related categories, think about all the under car things that could be differed had saw significant decreases. So, yeah, we have a strong quarter. We had strength in certain categories, in certain geographies at the same time. The West was weaker in certain categories or weaker.
Dan Wewer - Raymond James: Okay. Thank you.
Bill Rhodes: All right. Thank you.
Operator: Thank you. The next question is from Seth Basham with Wedbush Securities.
Seth Basham - Wedbush Securities: Good morning.
Bill Giles: Good morning.
Seth Basham - Wedbush Securities: The first question I had is just regarding some of your distribution plans. It seem to me you’re talking little bit more about testing more overnight, more frequent deliveries from the DCs to stores rather than focusing on utilization of the hub. Is that correct? And can you give us some more information on your thinking there?
Bill Rhodes: Yes. That is correct. We have several different tests that are going on. Let me go back and remind you. We talked about something we called optimal hurdle which was refining the store SKU placement across the entire store network. We finish that testing last summer and it rolled that out. We’ve been very pleased with the results of that today. A couple of the other key tests are would – an increase in delivery frequency from our distribution centers to our stores, the productive use and we’ve been testing that for about eight or nine months now and so far we’re pretty pleased with the results. Now we’re taking it the next level and saying, okay, let’s vary the delivery frequency instead of five days a week what happens at two days a week, what happens at three days a week, so that we can find the optimal approach. We’re also testing something which is an expanded SKU coverage even beyond our hub stores in a select number of we call mega hub stores and those mega hubs are also servicing the other hubs stores in the area further extending our same day local market availability. So, we’re still very much in test phase. We hope to be bringing some of these tests to conclusion over the next several months and then once we make those decisions, we will be communicating with you.
Seth Basham - Wedbush Securities: Great. That’s helpful. And just thinking about some of the mature programs, you talked about the growth in these commercial programs, still improving but at a slower rate. What do you think is driving that slowdown especially given the fact that you’re having lot of inventory and what not? Is the cannibalization going on or is it more market dynamics, how do we think about that?
Bill Rhodes: Yeah. I think a big part of it is the cannibalization. As we’ve open these new programs, remember several years ago we have 51% of our stores that were on the commercial program. We’re now at 77%. When we open a program in an existing market, we take the customers that are closer to the new program. We move into that program. So, there’s a fairly significantly amount of cannibalization that’s in there and that’s impacting those growth rate. But overall, we want to make it clear to you all. We’re making progress and have been over the last five years and are pleased with it, never going as fast as you want to.
Seth Basham - Wedbush Securities: Great. Thanks guys. Good luck.
Bill Rhodes: All right. Thank you.
Operator: Thank you. The next question is from Simeon Gutman with Morgan Stanley.
Simeon Gutman - Morgan Stanley: Thanks. First on, what you mentioned on the prepared remarks that August was better but inconsistent. Can you touch on September as appropriate? And then looking at August, its maybe just the past few months whether it weather mix of business or some secular trends? Can you help sort of push that out and if there are markets that haven’t had any weather noise, can you tell us where the underlying run rate is?
Bill Rhodes: Yeah. As far as August is concern, let me just this, every period for us in the quarter had a positive same-store sales growth. August was certainly better than July which was our weakness point. In September, we have a policy of really not talking about what’s going on in the current quarter because we release our earnings so early in the quarter. We’re just barely three weeks in and so we don’t think it’s prudent for us to share what’s going on in September so far. As far as what was driving the trajectory, you could very easily see it in the weather and the weather-related categories. So, things like A/C chemicals, A/C and heating, cooling systems, all of those categories were weak for the entire quarter and particularly weak in July and in certain select weeks in August. So, to us it was very much. When the weather cooperated our sales were strong. When it didn’t they didn’t.
Simeon Gutman - Morgan Stanley: Okay. And then second about next year, we’re mentioning those stuff compares. Can you talk about the comp that’s required to lever the expense line. I think the business right now is doing great on the gross margin. So that’s helping the gross profit dollars. So the composition had all change as the SG&A flex a little bit, I mean, what’s the right level for next year?
Bill Giles: Yeah. It’s a good question. And you know, its one that I think varies a little bit, I mean, the reality of it is if you look over time, we’re going to adjust our expense structure based on the sales environment that we’re operating in. So, we’re ultimately focused on growing EBIT dollars, and so, we’ll have some opportunities in gross margin. We may make some investment in SG&A, but we’ll manage those over the long-term based on the sales environment that we operate on. So it’s hard to give you a static number per say, because at times we leverage on very low comps and times we deleverage on higher comps. And so, we’ll just continue to look at the strategies that we have in place and the investments that we think we’ll help us out on a long-term basis and will adjust based on the sales environment we plan.
Simeon Gutman - Morgan Stanley: Okay. The lower acquisition costs that were cited this quarter is that normal course of business or did something else change that triggered your ability to lower the COGs?
Bill Giles: I would say that that’s probably more normal course of business. I think better work with the merchandizing organization and lower some of the acquisition cost either through sourcing. There’s probably some deflation in certain categories and that’s probably what’s drove it mostly.
Simeon Gutman - Morgan Stanley: Okay. Thanks and good luck.
Bill Rhodes: Thanks.
Operator: Thank you. The next question is from Michael Lasser with UBS.
Michael Lasser - UBS: Good morning, guys. Thanks a lot for taking my question. I was hoping you could benchmark where you think you’re parts availability and your delivery frequency capabilities are relative to your peers? We know that you’ve made good strives in the last several quarters, but I think the challenges we don’t know really order of magnitude where you are today versus where you were and what you’re trying to get to?
Bill Rhodes: Yeah. On the delivery frequency, we’ve had a long strategy of -- we deliver the vast majority of our stores once a week. We have competitors that are out there that deliver their stores on a daily basis. We are in the process of testing delivery frequency. And I want to emphasize the word “test”. We’re talking about a few hundreds stores that are on this delivery frequency test. So what’s going on in those stores is not shown up in our overall numbers in any material way. We’re going to go up and see what increase delivery frequency means as I mentioned earlier we’ve been please with what we’ve seen so far. And no surprise, as we get inventory closer and as Bill mentioned 70% of our SKUs have one piece on the shelf normally its in our current – we sell that piece. We’re out of it for up to eight days. This allows us to put it back on the shelf within 24 hours. So we’re encouraged, but we haven’t made any final decisions yet.
Michael Lasser - UBS: Okay. And in those stores where you have increased frequency, what has been the profitability impact, presumably it’s not more expensive to do that?
Bill Rhodes: Yes. It is more expensive and we’ve got four or five different test in different markets throughout now and they have mixed results. The longest running test is showing that it’s EBIT positive and then it’s generating a 15% IRR or better. So, that’s the threshold that we’re going hold any investment too. What we’re trying to be careful of is these will be some decisions that have long-term ramifications. And so we are wanting to make sure that we prudently test them and we validate our test results. And then determine as what’s the right number. Whether it should be twice a week or five times a week, we don’t know that answer yet.
Michael Lasser - UBS: Okay. And just to tie all those things together. If you were to get to daily replenishment or multi-week, multi time per week replenishment would you have necessarily sacrifice your profitability rate in order to do that?
Bill Giles: I wouldn’t say, well I cannot sacrifice our EBIT growth rate per se. But at the end of the day this is about driving EBIT dollars and driving unacceptable IRR which is up 15% for us. So that’s kind of the way we think about it. That’s the way we focus on. It’s going to generate more profit dollars. Are we going to get an adequate return on the investment that we make? And that’s kind of how we look at it. So we’re not getting hung up on absolute margin rate per se.
Michael Lasser - UBS: Okay. Thank you very much.
Bill Rhodes: Thank you.
Operator: Thank you. The next question is from Aram Rubinson with Wolfe Research.
Aram Rubinson - Wolfe Research: Hi, guys. Good morning. Thanks for taking the question. I understand that some of the commercial businesses is kind of cannibalizing from your mature stores, but you’re still at 18% of your mix is commercial, I’m not sure where they have a particular goal of where they would like to be but it seems from just reading and studying the industry it seems like that wants to go a lot higher. So my question is, is there’s a reason that you can think of why we’re cannibalizing from ourselves rather than taking business from others is seems to be growing there kind of constant at commercial program? And do you get a sense that we’re all kind of just piling into the same strategy at the same time and maybe that’s making it more difficult competitively?
Bill Rhodes: Yes. I would say the cannibalization is just a natural effect. If we open a store that is closer to a customer than the existing store that servicing, its just makes all the sense in the world for us to move that customer over to the new store so we can service him better, delivery times will be shorter and so on and so forth. So I think it’s not that that’s the only way we can do, that’s just the natural course of business. Yes, we only have 18% of our sales – I think that’s up from 16 last year. It’s no where near where we want it to be. We believe that we have a long term opportunities continue to commercial in aggressive way. We have not set any specific number, because we don’t want to maximize or put a threshold on where we’re going. We want to be as big in both businesses as we can be. As far as the piece of that growing in this business. I think it just takes time. We’ve been in this business the shortest amount of time. We’ve really had a successful growth rate over the last six or seven years and we are very confident track that we’re on and with the strategies that we have.
Aram Rubinson - Wolfe Research: Thanks. And on the DIY side, can you tell us a little bit about your market share whether you feel like you’re growing that market share or is that kind of stagnating or slipping. And then also where does ecommerce fit it into that market share equation on the DIY side, is that beginning to make any material inroads? Thank you.
Bill Giles: I think on the ecommerce side, when we look at the industry broad-based, we think that there is some opportunity for online sales, although it is in the significant penetration like it is in other industries. We recognize that a lot of people are coming for information relative it’s to be a content of the product or repair information etcetera. So we think that’s an integrated approach overall and that’s how we’re approaching it. From a market share perspective I think we’re holding our own. And so our growth seems to be close what the overall industry is growing at, at the same time we’re growing square footage growth rate at about 3%. So overall I think we’re holding our own from a market share perspective.
Aram Rubinson - Wolfe Research: Thanks, guys.
Bill Rhodes: Thank you.
Operator: Thank you. The next question is from Matthew Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs: Thank you so much and good morning. My first question relates to the IMC acquisition. If you could shed a little bit of light on the economics of the business revenue per store compared for (inaudible) store and the roll of online in that business and then also just give us a sense to the pace and the impact of the perspective rollout of their catalog to AutoZone stores?
Bill Giles: I’m seeing overall revenue is around $10 million per location, is about what they average overall. And so as far as what the overall impact would be on us on an ongoing basis as Bill mentioned before and so trying to get through the close and get our implementation ran, integrated and started we’ll be able to give you a little bit more color. I think in terms of getting even to the catalog obviously we would expect that to transpire in fiscal ‘15. So expect that to happen some time in the fiscal year I will give you better idea of that in the next conference call. But overall its good productivity, it’s a great compliment from an inventory perspective and certainly from a customer perspective and it’s a great management team. So we think that was a combination of things, so I hope the integration go even quicker.
Matthew Fassler - Goldman Sachs: And Bill if you think about the role of ecommerce and your model compared to what you see for the core AutoZone stores as you discussed to the last question. Is it similar or greater, would you say vis-à-vis your core business today?
Bill Giles: I would say it’s probably a little bit greater. I think that there’s an opportunity from an online ordering perspective with the commercial customers out. I think there’s probably a broader base from an ecommerce perspective for their product as well. So I think that that product probably has even more opportunities online.
Matthew Fassler – Goldman Sachs: And then my second question relates to the pace of the buyback. In recent years, your buyback in the final quarter of the fiscal year has been the largest of the year, I guess some part till the length of the quarter and there might be other reasons associated with seasonality and as such this year that was not the case. How should we think about the way you managed the buyback in the quarter this year and will it tell us if there’s anything about the pace of buyback going forward?
Bill Rhodes: Yes, that’s a good question. We purchased about $1.1 billion I think we just borrowed $1.3 billion last year as we mentioned the extra week, as the quarter of last year certainly helped a little bit last year so that’s some of the differential. If you think about it, we brought back about $1 billion over the past six years and so we think that that’s a cash flow number that we can maintain going forward if not better. And we’re also consciously trying to spread it out over the year as well and not make it as chunky as it has been. So those were some of the factors that go into that, but I wouldn’t think about the fourth quarter as being light in terms of being a trend, I would look at it as 1.1 versus 1.3 and the 1.3 reduced a little bit with the extra week last year.
Matthew Fassler – Goldman Sachs: Got it. Thank you so much.
Operator: Thank you. And that concludes the question and answer session. I’d like to turn it back to Mr. Rhodes for closing comments.
William C. Rhodes: Great, thank you. Before we conclude the call, I’d just like to take a moment to reiterate that our business model continues to be solid. We are excited about our growth prospects for the year. We will not take anything for granted as we understand our customers have alternatives. We have a solid plan to succeed this fiscal year but I want to stress that this is a marathon and not a sprint. As we continue to focus on the basics and focus on optimizing long term share holder value, we are confident AutoZone will continue to be very successful. We thank you for participating in today’s call.
Operator: Thank you. This does conclude today’s conference. Thank you for joining. You may disconnect at this time.